Operator: Ladies and gentlemen, welcome to the Conference Call of Mobile TeleSystems. At our customers request this conference will be recorded. As a reminder, all the participants will be in a listen-only mode. After the presentation, there will be opportunity to ask question.  May I now hand you over to Polina Ugryumova, Director of Investor Relations. Please go ahead.
Polina Ugryumova: Welcome everybody to today's event to discuss Mobile TeleSystems 2021 Financial and Operating Results. Before we start, I must remind you that except for historical information any comments made during this call  forward-looking statements. Important factors support our actual results to . This in turn imply certain risks and more thorough  are available in our Annual Report and Form 20-F or . MTS disavows any obligation to update any previously made forward-looking statements spoken on this conference call or make any adjustments to previously made statements to reflect changes in risks. I also wanted to mention that following the sale of NVision, we have  other services. For your convenience, we have retrospectively restated our profit and loss statement in our summary financials file, which is available on our IR website together with the press release and presentation for this call. Today's presenters are Slava Nikolaev, President and Chief Executive Officer; Inessa Galaktionova, First Vice President for Telecommunications; Andrey Kamensky, Vice President of Finance; and Ilya Filatov, Vice President of Financial Services and CEO of MTS Bank who will speak in Russian and I will translate. So with that  over to Slava to get .
Slava Nikolaev: Thank you, Polina, and thanks to everyone joining the call today. This is my first call as CEO, so I wanted to start with just a few words about where we start and where we headed going forward. Overall strategy remains unchanged. We are continuing to execute two-pronged approach to build out an ecosystem of digital services, while maintaining mobile market leadership. Looking ahead, you can expect to see . At the same time, we are going to put a sharper focus on concentrating our firepower to rapidly reach commercial scale along promising growth vectors. Context matters. In Russia consumer's preferred local content and corporate preferred domestic solution. As a telco this is frankly a unique opportunity. We are going to take full advantage of it. I am pleased to report, we are off to an excellent start in 2021. Consolidated group revenue for the quarter was up 5.5% year-over-year  RUB124 billion with solid contributions from all four of our verticals. Notably areas beyond connectivity contributed more than one-third of the total upside with fintech leading the way followed by cloud and digital solutions as well as media.
Inessa Galaktionova: Thank you, Slava. In Q1, we continued to see robust dynamics in core communications. In mobile connectivity service revenue was up 2.3% to RUB 82 billion on the back of solid domestic demand growth  four largely reflected from relatively early tariff adjustments in 2020. There was also a negative impact on a comparable basis from the extra leap date. In addition, we continue to see  from the percent related drop in international enrollment . Looking ahead, we expect front or even revise beginning in Q2 on lower comparables. Although, even in  scenarios, we expect the year roaming to remain well below pre-pandemic level.
Ilya Filatov: Thank you, Inessa. I'm happy to present our strong Q1 results for Fintech and MTS Bank. But first, I would like to note that based on full year data, MTS Bank was recognized as the eighth largest Russian bank by credit card portfolio and the number one bank in terms of point-of-sale loan growth. In 2021, we continue steadily executing on our strategy with a focus on developing digital channels. In Q1, the first time we reached more than half of all loan product sales to . In the first quarter we saw healthy dynamics in our retail loan portfolio growing 35% year-over-year before provisions which served as the key driver for our overall credit portfolio growth. On the back of this loan growth and the lack of additional provisions during pandemic last year, net interest income  RUB 4 billion. Net fee and commission income increased 39% year-over-year reaching over RUB 2 billion contributing 35% of overall operating income. Moreover, fee and commission income accounted for more than half of total retail operating income before provisions. Net income increased to nearly RUB 1.5 billion and return on  double digits 16% versus 5% in the year ago quarter. Cost of risk on the retail loan portfolio declined to 5.2% from 5.4% a quarter ago. In the retail segment, cost of risk increased slightly to 8.3% reflecting the active issuance of retail products and provisioning for the expanding loan portfolio. The share of non-performing retail loans declined to 8.8% in Q1 versus 9.5% in Q4. Overall, the bank remains committed to a conservative approach to reserves with year-end NPL coverage standing at 130%. We remain at comfortable level of . As of 1st of April, our N1  which reflects a safety margin above minimum regulatory environments of 10.5%. Looking ahead, we see promising growth opportunities and we are continuing to expand our customer base and realize ecosystem synergies with MTS. Now, let me give the floor to Andrey.
Andrey Kamensky: Thank you, Ilya. In the first quarter group net profit decreased 8.8% year-over-year to RUB 16.2 billion. Net process was supported  as well as the positive impact from a decline in cost of debt on a year-over-year basis. In addition, growth was constrained by a high base effect in the year ago quarter due to a significant non-cash impact from a FX effect and operations with derivatives. Excluding this last factor group net profit increased  year-over-year.
Slava Nikolaev: Thank you, Andrey. I'm very encouraged by our performance and results. We delivered a strong  Q1 and we are on track to deliver solid results for the full year. At this time, we are reaffirming our existing full year outlook that we gave you back in March of at least 4% growth in revenue and OIBDA and CapEx of RUB100 billion to RUB110 billion. That said there could be some potential to revise it later in the year, in particular depending on how much travel and roaming resumes this summer. Turning to shareholder returns. In March, the Board of Directors authorized a further RUB15 billion of stock buyback and we will already spend more than RUB5 billion in the program. In addition, the Board has recommended a full year 2020 dividend of  ordinary share to be approved by shareholders at the AGM. We continue to target  dividend payout in 2021 above the RUB29.5 we paid in calendar year 2020. Finally, I'd also like to highlight that the Board recently set up a dedicated ESG committee, aimed at strengthening corporate, governance environmental initiatives, and corporate social responsibility. We recognize ESG as an increasingly important factor for investors in their decision-making process and we are committed to enhancing our transparency and disclosure around ESG. So, with that, let me hand it back to Polina for the Q&A.
Polina Ugryumova: Thank you, Slava and thank you to the rest of the .  With this let's open the lines for questions. 
Operator: Thank you.  And the first question we've received is from Ian Kim. Your line is now open. Go ahead.
Ivan Kim: Yes, good afternoon. Few questions if I may. First at the end of February and March and I know it felt to raised price in January too did you see other operators adjust their prices higher as well from the start of the year? That's the first question. The second question is on factors influencing EBITDA. So, can you please comment on RUB1.5 billion of other was the factors influencing EBITDA year-on-year this quarter and whether we can expect anything similar in the remainder of the year? And just probably a technical question on your paid OTT subscribers. 
Polina Ugryumova: Can you please repeat the third question, which related to paid OTT?
Ian Kim: Yeah. Just how many of those they have. Because you show the total number of OTT subscribers. I was just wondering, how many of those are parts, are they all paid or some of them are eligible for the services within their subscription? Thank you.
Inessa Galaktionova: Okay. Ivan, I will take the first question. This is Inessa, responsible for telecom. So usually on the telecom market there is a practice to make price indexation review tariffs beginning of the  practice for telecom operators to do that beginning of the year, so in the first quarter. We did it later this quarter. So as you mentioned correctly end of February, beginning of March, so our colleagues on the market also review prices in the first quarter.
Andrey Kamensky: Yes. This is Andrey. The second question with regard to the factors on OIBDA, the positive impact on EBITDA from other factors, primarily relates to the effect of one-off OpEx  in Q1 2020 that resulted in a low pace in the first quarter on a year-over-year basis, so  expecting that from the transition to be overall neutral in the first half of year.
Slava Nikolaev: And last question. I think, it's the most difficult, because it's really difficult to define, what is the paid OTT subscriber? I will explain, why. Because if you look at  performance market practice, you would for example see that there are users of class that have access . The big question is, whether those guys are paid users or not. They are paying. And we have the similar -- very similar practice with the  user and other possible service. So this term, I can tell you that, we are not looking for OTT users that will not bring any value to the company, including, by the way including the advertising revenues that could come. We don't have this system now. But I think any online  is looking into the system again. It's becoming because of the possibility to target this advertising which makes much more commercially viable. So the number of odd subscribers we report, they usually include servers that  get revenue to the company through different channels. But they're not free users generally. So that's -- maybe it's a little long, but the question is not as easy as it looks.
Ian Kim: Very clear, thank you very much for that, I may just follow-up on the provision. So did I understand correctly, that you said that, overall it's going to be neutral for the first half. So there will be some -- yeah. I'm not sure how to understand that. So there will be some negative impact on the second quarter or?
Andrey Kamensky: Hey, Ian, Yeah, I mentioned that, actually if we compare this year to the previous year that it would be neutral. Yes, the comparison, because it was the low-base of 2020 when we made this provision. Therefore, you see now this positive impact. And if we compare the first half of the year of 2021 to 2022 -- 2020, it would be neutral. That's what I mentioned.
Ian Kim: Okay. Thank you.
Operator: Thank you. The next question is from Alexander Vengranovich of Renaissance Capital. Your line is now open. Please go ahead.
Alexander Vengranovich: Yes. Thank you. Three questions from my side. So first one, on the assumptions you use for your roaming revenue forecast, for this year. Can you remind that, what sort of outlook you have for roaming revenues by the quarters, if possible in order to understand what sort of a potential upside can we have if travel restrictions more or less lifted, because the core geographies for travels or perhaps for tourists? That's the first question. Second question is on your mobile retail network. So I was a bit surprised to see the second quarter of the growth -- of the number of the stores, which I think is a bit contradicting to what you've been saying before, as basically the long-term target of mobile retail network optimization remains intact. So I'm just wondering what was driving that. Whether it was sort of a timing effect of the opening of the new showrooms, or do you feel that there might be some competitive situation which really prevents you to optimize your network further? And the third question is again on KION. Can you please indicate the scale of the content investments related to KION this year, maybe, and until 2023 which they think is required to achieve your goals on the number of the users and your top three position on the market? And related to that what do you think could be the key issues for KION to achieve these targets. Thank you.
Slava Nikolaev: Okay. I will take the first question, on roaming revenue forecast. Of course, we never made any firm assumptions on that. We are generally assuming that rather conservatively and that was reflected in my part of presentation. So nothing particular. It would be pure speculation to set a date when this go, will -- all the limitations will be lifted. Second question goes to Inessa.
Inessa Galaktionova: Regarding retail network. So, actually, we – Alexander, appreciate that we are very careful with all the figures we provide for retail. And so you are very carefully calculating. But I just want to address your attention that actually those small fluctuations, which is less than 2%, does not reflect any strategy behind that. This is actually normal operational business, which sometimes require -- make some shops to be closed, because we are searching for new good locations and in some regions it requires to lower, for example, less quality channels like local dealers and local distribution and invest more in our own retail chain, which is more quality. That's why I ask you not just to pay such a huge attention to those small figures, because, again, we'll repeat that. Right now we are very stable in terms of number of our stores in the coming -- I mean, in the coming quarter or half a year, we don't plan any big optimization, as it was announced one year ago. And we actually made that as we promised. In the coming months we don't expect any optimization. As soon as we have in our plan, the strategy we'll definitely share with you, because that will be something behind that. I mean the strategy. Right now, this is just a small iteration of  kind of changes in the strategy.
Slava Nikolaev: And then the third question on scale of content investment, we are not disclosing the particular -- the exact figure. But I can tell you that, it's not groundbreaking. We are being very accurate with those investments. And at the same time they are included in our overall capital spend. So it's all in there and it doesn't change as much, so -- 
Alexander Vengranovich: Yes. And regarding the issues or potential challenges, maybe you can provide some more details on that, will be great.
Slava Nikolaev: Well, I think, challenges for KION's success could be only -- well, if we go into SWOT analysis, I would say that, given the start, the possibility that our own originals would be really bad is off the table now. It looks that it all goes very well. And of course, the competitive environment is there. We have a player that is able to spend a lot of money on that. We have another player, which is able to redirect a lot of search traffic into their platform. So, we are playing on this market with our own opportunities. And I believe currently the best team of making originals. And at the same time, with a very strong product team and you can see that in the product itself. So, I'm pretty confident that we are set for growth in this market.
Alexander Vengranovich: Thank you.
Operator: Thank you. Then we go to the next question. It is from Henrik Herbst of Morgan Stanley. Your line is now open. Please go ahead.
Henrik Herbst: Yes. Thanks, thanks very much. I had three questions actually. Firstly, I wanted to follow-up on the price increases beginning of the year. Can you -- I mean you've been doing price increases now, I guess, for a few years. Can you talk a little bit about what you've seen in terms of customer perception on price increases? Any change in churn or anything different from last year? And then, I also wanted to follow-up on KION, I guess and your content investment. Firstly, when we think about the content investment, I realize you can't give us any explicit numbers. But is 2021 sort of the beginning and the content investment is ramping up from here, or are you sort of investing quite a lot now to get operations going? And from here the content investment should be stable to sort of coming down a little bit, so more directionally I guess than perhaps explicit numbers? And then, I guess a bigger picture question on content investment. I think if you look globally, most telcos that tried to invest in content have sort of changed their minds. I guess the latest one AT&T you sort of now exited the Time Warner investment. Can you maybe talk a little bit about why I guess, what do you think you're doing differently, or what's different with MTS, and why we shouldn't sort of be worried about the -- I guess lack of success from either telcos trying the same thing. Thanks very much.
Slava Nikolaev: Okay. First of all, thank you for your interesting questions. The first question is easy to answer. I think we came quite a few years ago. It came to a model which allows us to do those price increases in a very transparent way. And we see that our subscribers appreciate this way. They always have time and we -- suggestions of how they can change tariff, if they wouldn't want to stay on the tariffs that are being increased. And therefore, in the last two or three years, we don't see any reflection on NPS after our price increases. So, we are confident that we're doing that very accurately, and we monitor all changes afterwards. So, I'm pretty confident we are okay here. On KION, content investment, I would say that in comparison with 2020 and 2021, the investment could go higher maybe by a notch but not much. And then, if we see this going well, it will pretty much continue on the same level, because we have model of how often how many originals we have to get on the market to keep the interest of the new subscribers and the interest of existing subscribers, and it seems working so far. And going into the last question on AT&T, Time Warner and this dilemma that everybody has, I would say that our situation is very different from the duration when telecom is purchasing an existing content provider, because the idea behind content provider is to have the most widest distribution possible. So, eliminating this distribution to one operator will really decrease its value. And this is the basic problem behind us. Our case is very different because we are not planning to conquer the world with that. We are making very specific investment into enough local content to constantly increased number of subscribers on the platform. And then we are keeping them there both with the product excellency and existence of our libraries. And the libraries of course include libraries that we purchase from majors and libraries that are created with our own content. And I think that this difference is the most important and we see this model can really work out. So that's pretty much it. 
Henrik Herbst: Okay. Thanks very much. Can you also kind of perhaps follow up in terms of investment is there any significant sort of OpEx investment as well? Is your content strategy a drag on your EBITDA margin? So is it mainly on CapEx? Thank you.
Slava Nikolaev: No, not really. It's as being very, very moderate. Now the application is being done by our own teams. We have core of the platform from a big vendor, but then we -- again we create all the systems around it by ourselves. And there will be some OpEx, but only when the subscriber base will grow. So it's all dynamic and only positive impact I would say. 
Henrik Herbst: Thank you very much.
Operator: Thank you. At this moment, there are no further questions.  We have received another question. It is from . Your line is open. Please go ahead. 
Unidentified Analyst : Hi. And thank you for the presentation. I have a couple of questions if I may. One is a follow-up on Ivan's earlier question. So maybe I completely misunderstand the answer, but when you kind of look at the similar annual numbers, if I look at the one-offs from last year then in the second quarter of 2021, you had even more one-offs in the base and in 1Q 2021. So when you say flat impact year-over-year on a semiannual basis does that indicate that we're expecting some kind of negative one-offs in the second quarter of 2021, or is that understanding that's not correct and maybe there's something else. So any clarification would be appreciated.  Second question if I may on MTS Bank. So very good numbers this quarter. Are you kind of confident that you can maybe keep your return on equity at maybe double-digits this year before you get to your 20% target in 2023? And is that the target that you still think is achievable without any capital increase?  And maybe finally in terms of Net Promoter Score you mentioned the progress on there, but one of your competitors on the -- on their Capital Markets Day recently was saying that the Net Promoter Score is going up while the Net Promoter Score of the entire market and that would mean you as well is going down. So can you clarify is that something that you are also seeing on the way that you perhaps measure Net Promoter Score differently, or what the trajectory is currently for MTS? Thank you very much.
Andrey Kamensky: Andre, thank you very much. Let me start with the first one. However, actually there's not much I can add, that I've already said that based on our assumption for the first half of the year, actually the effect of 2021 to 2020 would be neutral on this specific other item. So that's actually it. 
Ilya Filatov:  
Polina Ugryumova: Andre, thank you very much on your specific question on the bank. Yes, I'm really very happy to answer this. We do expect the return on equity for the bank will remain in the double-digit area by the end of this year, which could be taken as  around like 12%.
Ilya Filatov: 
Polina Ugryumova: As for the 2023 targets, we have recently re-announced them. So we remain on track.
Ilya Filatov: 
Polina Ugryumova: As for the potential capital injections, so additional capital injections, a lot will really depend on the regulators initiatives as currently we see the regulators, some of the regulators -- initiatives are made towards potential cooling down of the retail market. So for this year, we do not have any further specific plans to increase the bank's capital. And for the next year, we still do not have enough clear certainty enough clarity on what the regulator will do.
Slava Nikolaev: I just wanted to add on that that we really hope that the fintech is going to grow and we see that it's growing really fast. And if we see that this growth continues and at a really healthy rate, we are ready to support it with some additional financing. Not again nothing that would really make a drastic change in our figures, but given that ROI is growing, I think, there is a possibility. So go ahead.
Inessa Galaktionova: Yes. So I'll take that question on NPS. So actually we don't comment information, which was mentioned by a competitor especially then we don't know on which materials or report is referring to. That's why it's difficult to comment. And on the overall, we see that NPS on the market is pretty modest mostly due to pandemic mood, which has happened for the last year, but this is the only trend we see. So that's why we don't comment on the comment of our competitor.
Unidentified Analyst: Thank you very much. Maybe if I may one follow-up because there were no other questions in the line. Can I just clarify? I believe there was a comment during the presentation about CapEx being temporarily higher. Is this a way to say that 2021 is a kind of one-off year, or is this a multi-year thing you think? Any clarity would be appreciated.
Andrey Kamensky: Yes, Andre, thank you very much. That actually was part of my speech that what I wanted to mention is that it's not going to be a new run rate for the future. And yet we expect that for the next years that might be lower. It's too early actually to give any guidance or whatever, but that's our understanding at the moment.
Unidentified Analyst: So the one-year spike would be your current working assumption?
Slava Nikolaev: This is what Andrey said, I'm sorry.
Andrey Kamensky: Yes. Yes.
Unidentified Analyst: Thank you very much.
Operator: Thank you. We've received another question. It comes from Anna Kupriyanova of Gazprombank.  is now open. Please go ahead.
Anna Kupriyanova: Hi. Good afternoon. Thank you very much. I will have a couple of questions coming back to your OIBDA margin. If I correctly estimate that if we exclude effects from provision last year, we get to the OIBDA margin for Russia to be flat roughly year-on-year, if I correctly understood your comments. And what could we expect in terms of year-on-year margin trend going into the next nine months of this year? This is my first question. And now my second question will be regarding your music subscribers. I see that they're slightly down. Just to understand how this direction develops and what do you expect in the future should we consider this as a promising part of your media division going forward? And my final question, I think, I missed number of your multi-product users. If you could repeat that please? 
Andrey Kamensky: Yes, Anna, thank you very much. I'll take the first question this Andrey. In terms of OIBDA margin actually we do not provide any guidance on the OIBDA margin. And frankly speaking on our business we are not so much focused on the margin itself. We are more focused on the numbers. And therefore actually you can refer to the guidance that we are giving for OIBDA plus 4% growth on the year that we stick to. So that's the answer to your first question. 
Slava Nikolaev: Frankly speaking on music subscribers it's really -- I didn't see any major changes there. I can follow-up on this later, but nothing drastic change there. And this is not a core to MTS Media. MTS Media is currently focused on online movie part. But on music subscribers, we have several directions working with music. One Direction is partnership with the Spotify one-off and it's probably not included in this number. We also have -- we still have partnership with Apple Music and we have our own application which is also a partnership with applications. So I will -- again I will check on that but nothing major on this business happened in the last year. We did not disclose a multiproduct users number this quarter. So no it's growing, but we didn't have this exact number.
Anna Kupriyanova: Thank you very much. And may please ask a bit more on your major revenues. In terms of share of TV revenues and fixed line revenues. I mean which are in fixed line revenue growth came from TV? How does it compare to the overall segment increase? Not in terms of users, but in...
Slava Nikolaev: I understand the question, but we cannot answer it now. And going forward it will be more and more difficult to diversify revenues coming from different business lines because everything is coming in bundles. And the way you attach revenue for this bundle to different business as very artificial. So it's really impossible to say which part goes -- which comes from fixed line which part comes from TV, sorry. But everybody would want that because to realize your cost efficiency but unfortunately it doesn't work this way. 
Anna Kupriyanova: And then final question. When can we expect a new disclosure in terms of your results by new business segments?
Slava Nikolaev: Could you please specify, what do you mean by results of this new business segment?
Anna Kupriyanova: The disclosure of your business segments, in terms of results presentation by new direction as media, FinTech, digital?
Slava Nikolaev: We're a little bit bundles here at this table, because we are giving the results of our business lines. So, that's why I asked you to specify the question.
Anna Kupriyanova: What I mean, for example, your media revenues, your digital revenues, given it's your major four new directions. I would be interested to understand when we can see the revenues by these directions. At this stage, you don't disclose your media revenues. Sorry, if I missed something.
Slava Nikolaev: We will process your request and come out with some solution. But, I think that again, given that most of the services are given in bundles, this was all pretty much artificial. But, we will try to help you. So, we'll consider it. Thank you.
Anna Kupriyanova: Okay.
Polina Ugryumova: This is Polina. As we have given this message for quite already a long time to the market, the whole paradigm idea behind the ecosystem is that you're building a specific ecosystem surrounding a route specific around each client, let's say. And you are selling the services in the bundle. While some of the services can be absolutely profitable, other services, which do increase the life of our clients or increase the NPS, which NPS, which is associated with this client, can be OIBDA zero for example, even it's negative. What is really very important for us is that that type of bundling provides the longer life of our clients. And in the end results, in the higher CLV, which is customer lifetime value. From that perspective, going forward in implementation our strategy, it would make less and less sense to give you a breakdown between the division, especially at the level of the profits, which are generated by this division. But anyway, as you may see we keep increasing the transparency and the fulfillment of our disclosure to better understand how our business evolves and to make you understanding of how the whole ecosystem develops here is a kind of more friendly and more transparent in terms of understanding.
Anna Kupriyanova: Thank you very much for your comments.
Operator: Thank you. The next question is from Slava Degtyarev of Goldman Sachs. Your line is open. Please go ahead.
Slava Degtyarev: Yes. Thank you very much for the call. One general question for me. There is quite a large spike in inflation across the globe, and it looks like Russia is not an exclusion here. Do you see any inflationary effect putting pressure on either CapEx or the OpEx side in the medium-term that we should be aware of, and which lines can be most effective? Thank you.
Slava Nikolaev: Since you're mentioning that this is a global effect, of course, it has influence in on every company and probably every person but I would say that with the specific terms of CapEx and everything. We have long-term relationships with our vendors and I don't think that we have something specific to our company with this regard, no, just as everyone else.
Slava Degtyarev: Okay. Thank you very much.
Operator: Thank you. And the next question is from  of UBS. Please go ahead.  line is now open.
Unidentified Analyst: Hi. Thanks. I have a follow-up. Thanks for your patience. Following your last quarter results, there were press reports that you may be putting up your towers into a separate company. And we have one of your competitors especially being very vocal about, trying to do something especially in maybe the more remote regions of Russia, and when it comes to network sharing et cetera. Is this something that, you're kind of ready to comment on and what potential paths would you be most interested in, when it comes to some kind of infrastructure sharing or deals et cetera?
Slava Nikolaev: Yeah. We have very, very easy answer. We are looking at all opportunities. And we're very closely, what's happening. In the market, nothing happened yet. We realize there are a lot of negotiations in this area. And of course, we are on the top, but we're not ready to disclose anything yet.
Unidentified Analyst: But can you maybe say in the past MTS has been very much opposed to this? Is the situation a bit different now, from your perspective, now maybe that the market is kind of on more level-playing field when it comes to coverage, network quality et cetera, is it something you would consider  as compared to five years ago?
Slava Nikolaev: I can only repeat, what I've already said. Of course, life is going on. And we are -- yeah this going on. We are looking at the opportunities. And whenever we are ready to disclose any news for you, we will do that, believe me.
Unidentified Analyst: Thank you very much.
Operator: Thank you. As there are no further questions I would like to hand back to you.
Polina Ugryumova: Ladies and gentlemen, thank you very much for listening. As usual, we will make a replay of this call available on our IR website, in the near future. If you have any further questions, please do not hesitate to reach out to Investor Relations, at any time. Our inboxes and phone lines are open. In the meantime, we appreciate the interest in MTS. And we wish everyone, a pleasant day.